Operator: Good morning. My name is Rob and I'll be your conference operator today. At this time I would like to welcome everyone to the iHeartMedia Second Quarter 2023 Earnings Conference Call. [Operator Instructions] Mike McGuinness, Head of Investor Relations, you may begin your conference.
Mike McGuinness: Good morning, everyone and thank you for taking the time to join us for our second quarter 2023 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to a press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings. Additionally, during the call, we will refer to certain non-GAAP financial measures. Reconciliation between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation and our SEC filings which are available in the Investor Relations section of our website. And now, I'll turn the call over to Bob.
Bob Pittman: Thanks, Mike and good morning, everyone. We're pleased to report that our second quarter 2023 results were in line with our previously provided adjusted EBITDA and revenue guidance ranges. The signs of improvement in the advertising marketplace that we called on in our first quarter call have continued and we're seeing indications of improving macroeconomic trends which we expect to have a positive impact on us in the second half of the year. And similar to what you probably heard from others, we expect most of that positive impact in Q4. While we're carefully monitoring these improving macroeconomic conditions, we're also continuing our expense management work. These actions and the work we've done over the past couple of years to make our organization more efficient, have allowed us to be resilient during this recent period of advertising softness. These actions have also freed up additional capital that enabled us to continue reducing our highest cost debt at advantageous prices, while also continuing to reinvest in our high growth areas like podcasting. The continued positive performance of our Digital Audio Group led by our podcast business and the significantly improved relative performance of our Multiplatform Group during the soft advertising period compared to the last downturn in 2020 are encouraging metrics for us. Additionally, while the advertising environment remains challenging in the short term, we note that there are some opportunities that iHeart is uniquely positioned to take advantage of. Linear TV's viewership continues its precipitous decline, the Hollywood labor strikes have already had an impact on content distribution and will likely have an impact on future content creation, both of which could have a negative impact on video audiences. And there's an ongoing and well publicized upheaval in social media platforms. These opportunities along with the important and first of its kind Dentsu study about the audio sector that just came out last week, clearly demonstrate the unique and powerful impact of audio, including both podcasting and radio and creates maybe the best environment we've had to make our case to advertisers and their agencies about the power and value of audio media, with radio and podcasting at the forefront. With that backdrop, let me take you through some key financial results of the quarter. In the second quarter, we generated adjusted EBITDA of $191 million, slightly above the midpoint of the guidance range we provided of $180 million to $200 million and more than double the adjusted EBITDA we generated in the first quarter. Our second quarter adjusted EBITDA was down 19.4% year-over-year which is a significant improvement from Q1 which was down 35.7% year-over-year. Our consolidated revenues for the quarter were down 3.6% compared to the prior year quarter, a little better than the guidance we provided of down mid-single digits. And excluding the impact of political, our consolidated revenues were down 1.8%. Turning now to our individual operating segments. In the second quarter, our Digital Audio Group revenues were $261 million, up 3.3% versus prior year. Adjusted EBITDA was $85 million, up 7.2% versus prior year. And our Digital Audio Group adjusted EBITDA margins were 32.4%. We believe the Digital Audio Group's adjusted EBITDA performance benefited from the strategic fixed cost investments we've made in the past few quarters. This quarter also illustrates the strong flow-through characteristics of the business as our Q2 Digital Audio Group margins expanded 120 basis points year-over-year and were 820 basis points better than the first quarter. Within the Digital Audio Group, our podcast revenues even in the slower ad market grew 13% versus prior year, further evidence of our leadership position in the industry and illustrating how powerful podcasting is as both a short term and long term growth engine for the company. Our digital ex-podcast revenues were down 1.6% versus prior year, with the prior year benefiting from non-returning COVID-related advertising spend. We expect our digital ex-podcasting revenues to be back to positive growth in the third quarter. In the second quarter, podcasting was by far the best performing segment of the advertising marketplace and we continued to have the largest podcast audience reach in the United States. In June, iHeart was once again ranked the number one podcast publisher in the U.S. with more monthly downloads than the next two largest podcast publishers combined according to Podtrac. Our leadership position in podcasting is in part the result of the unparalleled scale of our complete audio platform that we use to promote our shows across our digital products and across our broadcast assets which have 3x the consumer reach of the largest TV network and twice the reach of the next largest audio service. A great example of this is the story of Paper Ghosts, one of our true crime podcasts that we recently began to promote extensively on our broadcast radio stations. Within two weeks, its downloads jumped by more than 100% and it reached the Top 10 in Apple's Podcast: True Crime charts. Our leadership position with podcast listeners is also driven by the breadth and depth of the content we create. We're the only publisher with podcast ranked in all 19 of Podtrac's content categories and we have the most top 10 shows of any publishers as well. And as the podcasting industry at large continues to embrace more rational content costs, iHeart as the leading publisher in the industry will continue to benefit. The overall podcasting industry has also reached a significant milestone and now surpasses all the ad-enabled streaming music services and daily usage according to Edison and there are now more weekly podcast listeners than there are Netflix subscribers. In addition to podcast listeners extraordinary engagement with the medium, we think this audience diversity and reach advantage is a compelling value proposition for our advertising partners as well. And finally, podcasting and broadcast radio are truly complementary businesses, as you can see by their listening profiles. 68% of broadcast radio listening happens out of home and 69% of podcast listening occurs in the home. These listening patterns are complementary because at their core, they provide the same benefit to listeners. Both are companionship mediums and both keep their listeners company, just at different times and locations throughout the day. And the natural synergy between these 2 mediums gives us a real advantage in podcast content creation, promotion, marketing and advertising sales as you can see in our consumer engagement, revenue and profitability metrics. And critically for us, podcast usage does not come at the expense of radio usage. Rather instead, according to a recent survey, 70% of podcast listeners say they replaced time spent with social media platforms, 50% say they replaced time spent with YouTube and 46% say they replaced time spent with streaming music services to make time for their podcast listening. In addition to our industry-leading podcast business, we also have the number one streaming digital radio service which is 5x larger than our closest competitor. We have the largest social footprint of any audio service by a factor of 7. And we operate 3,000 national and local websites that reach almost 150 million people in the United States each month, all of which represent additional opportunities for our advertising partners to interact with our highly engaged consumer base and provide additional revenue growth for the company. Let's turn now to our Multiplatform Group which includes our broadcast radio networks and events businesses. In the second quarter, revenues were $596 million, down 5.9% versus prior year which is an improvement from down 7.4% in the first quarter. Adjusted EBITDA was $162 million, down 16.5% versus prior year which is a substantial improvement from down 35% in the first quarter and nearly double the adjusted EBITDA we generated in the first quarter. Second quarter Multiplatform Group adjusted EBITDA margins were 27.3%. To put this recent performance in perspective, during the 2020 economic downturn, our second quarter Multiplatform Group revenues were down 53.4% year-over-year compared to down just 5.9% year-over-year in Q2 of this year. We think that significant improvement is partly attributable to the technology and data investments we've made to make our broadcast radio assets more like digital assets for advertisers, including data-enabled targeting, algorithmic buying, attribution and performance measurement capabilities, along with our unique smart audio product and our growing AI capabilities, leading to strong revenue growth potential for our broadcast radio assets. The Multiplatform Group does continue to be impacted by some of the advertising uncertainty we called out in the first quarter. As we mentioned in our first quarter call, our smaller advertisers have been more likely to continue to spend through the uncertainty, while there was some softness in our larger advertisers. In Q2, our smaller advertisers remained resilient and we saw a gradual improvement from our larger advertisers as well which leads us to believe that we'll continue to see improvements in the business through the remainder of the year. I do want to point out that the biggest driver in terms of our full year financial performance is always the fourth quarter. The fourth quarter is always our largest revenue, EBITDA and free cash flow quarter of the year because it's also the largest quarter of the year for most of our advertising partners in terms of sales and advertising spend. If you remember last year, despite the slowdown in the macro trends throughout the year, the fourth quarter turned out to be the best quarter in iHeart's history as advertisers accelerated their spend. So the question will be: Will the advertisers who've cut back or stood on the sidelines throughout the year start to spend as they enter the fourth quarter? Based on the improving trends we've mentioned here and how the fourth quarter of last year performed, we think the answer to that is most likely yes. But we'll have better insight into those trends as we near the end of the third quarter. Turning to the state of the broadcast radio industry, radio continues to be a vital and trusted source of information, entertainment, companionship and support for hundreds of millions of Americans and is irreplaceable during times of crisis and disaster in local communities. There's no better evidence of that unique power that radio has with the consumers than what we saw happen in the Senate 2 weeks ago with the AM Radio for Every Vehicle Act, bipartisan legislation which would require automakers to keep AM radio in new cars, including EVs at no additional cost to the consumer. This bill introduced by Senators Markey and Cruz and currently with 28 co-sponsors equally divided between Democrats and Republicans, passed out of committee with near unanimous bipartisan support, importantly, with the full support of Chairwoman Cantwell and is the result of listeners strong feedback to Congress and reflects the passionate and vocal consumer base that radio enjoys. Broadcast radio's reach and the loyalty that audiences have to its variety of host programs and content is unmatched in media today and iHeart's ability to connect those audiences with our advertising partners directly correlates to the advertising revenue potential of these assets. Remember, historically advertising has always followed the consumer and consumers are on the radio and staying on the radio. So iHeart's mass reach will become even more important as advertisers and agencies struggle to replace the rapidly declining reach that has historically been provided by Linear TV and cable networks. As a reminder, CBS, the largest TV network, has seen its consumer reach cut in half since the early 2000s, while iHeart's broadcast radio consumer reach grew over the same period and now reaches an audience almost twice the size of CBS. And critically for our advertising partners, streaming video services have been unable to compensate for the decline in Linear TV reach which again highlights the opportunity we have before us. Now, we know some are asking: if broadcast radio is a revenue and earnings growth platform for the company or if it's a declining business that digital must compensate for? Let me be clear. While it will likely advance at a lower growth rate than our digital business, we feel certain broadcast radio will provide long-term sustainable revenue and earnings growth for iHeart. Before I turn it over to Rich, I'm going to leave you with this final thought. As we look to the back half of 2023, we know we're up against some tough year-over-year comps as the second half of 2022 benefited from a very strong midterm political cycle as well as some non-returning COVID-related advertising. But with the actions we've taken to improve our operating efficiency in combination with the gradual improvement we're seeing in the advertising marketplace, we believe we'll see a continued quarter-over-quarter sequential improvement. This will also help position us for a strong 2024 which, as a reminder, is also a presidential political year. And now I'll turn it over to Rich.
Rich Bressler: Thanks, Bob. As I take you through our results, you'll notice that, as Bob mentioned, we slightly exceed our previously provided guidance for the quarter. Our Q2 2023 consolidated revenues were down 3.6% year-over-year, a little better than the guidance we provided of down mid-single digits. And excluding the impact of political, our consolidated revenues were down 1.8%. Our consolidated direct operating expense has decreased 2.8% for the quarter. This decrease was primarily driven by cost savings initiatives, including reduced compensation expense and lower digital royalty fees which in the prior year quarter benefited from the settlement of amounts related to prior periods. This decrease was partially offset by the increase of certain expenses tied to the growing digital revenues, including third-party digital costs and production costs. Our consolidated SG&A expenses increased 3.9% for the quarter, primarily driven by higher variable compensation expense and higher bad debt expense, partially offset by lower sales commissions. As a reminder, we paid minimal bonuses to our employees last year. We generated a second quarter GAAP operating loss of $897 million compared to operating income of $83 million in the prior year quarter. Included on our GAAP operating loss was the impact of $961 million noncash intangible impairment related to our FCC licenses and goodwill. If you recall, when we emerged from bankruptcy in May of 2019 when the macroeconomic environment was much different than it is today, we applied fresh start accounting which resulted in a significant write-up of our intangible assets. We revisit and evaluate our intangible asset valuations each year using analysis which incorporate, among other things, consideration of the current macroeconomic conditions, current interest rate levels and current equity and debt valuations in the marketplace. These key factors have shifted substantially over even the past couple of years, driven apart by the Fed sharp interest rate increases. Incorporating these updated factors into our analytical review results in an adjustment to the book value of our intangible assets. Our second quarter adjusted EBITDA was $191 million compared to $237 million in the prior quarter and slightly above the midpoint of the guidance range we provided of $180 million to $200 million and more than double the adjusted EBITDA we generated in the first quarter. Turning now to the performance of our operating segments. And as a reminder, there are slides in the earnings presentation on our segment performances. In the second quarter, Digital Audio Group revenues were $261 million, up 3.3% year-over-year and they comprised approximately 28% of our second quarter consolidated revenues. Digital Audio Group adjusted EBITDA was $85 million, up 7.2% year-over-year and our Q2 margins also improved year-over-year to 32.4%. Within the Digital Audio Group are our podcasting revenues which grew 12.9% year-over-year and our non-podcasting digital revenues which were down approximately 1.6% year-over-year, reflecting non-returning COVID-related advertising spending in the prior year. And as Bob said, we expect to be back to positive revenue growth for our digital ex-podcasting revenues in the third quarter. As anticipated, in the second quarter, we continued to see improvement in our Digital Audio Group EBITDA flow through at EBITDA margins. And in the long term, we continue to believe our Digital Audio Group should be a 35% adjusted EBITDA margin business. Multiplatform Group revenues were $596 million, down 5.9% year-over-year. Adjusted EBITDA was $162 million, down 16.5% year-over-year and nearly double the adjusted EBITDA we generated in the first quarter. Multiplatform Group adjusted EBITDA margins also improved sequentially to 27.3%. Audio media services group revenues were $66 million, down approximately 7% year-over-year and adjusted EBITDA was $80 million, down from $22 million in the prior year. Excluding the impact of political in the prior year quarter, audio media service group revenues were up 2.4%. At quarter end, we had approximately $5.2 billion of net debt outstanding and our total liquidity was $585 million which includes a cash balance of $165 million. Our quarter ending net debt to adjusted EBITDA ratio was 6x. We remain committed to our long-term goal of a net debt to adjusted EBITDA ratio of approximately 4x. As highlighted on past goals, we have no material maintenance covenants and no debt maturities until mid-2026. In the current macro environment, this type of debt profile positions us to be both resilient and opportunistic in responding to debt market developments. In Q2, we repurchased $80 million of the principal balance of our 8.38% senior unsecured notes at a meaningful discount to their par value, generating both earnings and free cash flow accretion. This brings our total repurchase of these notes to $430 million, reducing the outstanding amount from $1.45 billion to approximately $1 billion and results in aggregate annualized interest savings of approximately $40 million. We monitor market conditions and as opportunities arise, we will continue to improve and optimize our capital structure. In the second quarter, we generate $39 million of free cash flow, including the impact of $5 million of real estate asset sales. While free cash flow conversion this quarter was lower than we anticipated, this was largely driven by the timing of collections which will reverse themselves in Q3. We had over $30 million of billings from a few customers that were due towards the end of June that we received on July 5. These are not bad debts, just certain customers holding payments a bit longer. As Bob mentioned earlier, we expect to generate positive free cash flow for each subsequent quarter in 2023, with a significant amount expected to be generated in the fourth quarter. I want to turn now to our outlook for Q3 as well as some thoughts on the full year in 2024. We expect our Q3 2023 revenues to be down mid-single digits and down low single digits excluding the impact of political revenue. Revenue for the month of July was down approximately 5%. Turning to the individual segments, we expect Multiplatform Group revenues to be in the high single digits. Excluding the impact of political, we expect Multiplatform Group revenues to be down mid-single digits with the revenue slightly higher than Q2 revenue. We expect Digital Audio Group revenues to be up mid-single digits and we expect audio media services revenues to be down in the high teens or down low single digits excluding the impact of political. Turning to adjusted EBITDA, for Q3 2023, we expect to generate consolidated adjusted EBITDA in the range of $195 million to $205 million. I want to comment on the following items affecting free cash flow. In addition to the tax planning initiatives mentioned on our first quarter call, we have identified additional opportunities to further reduce our cash tax burden and now expect to pay approximately $15 million of cash taxes in 2023, almost half the prior guide of $25 million to $30 million. Our estimate of full year 2023 capital expenditures remains at $90 million. Cash restructuring expenses remained down year-over-year which we expect to continue through the remainder of the year and expect to be around $50 million. We continue to be impacted by the current interest rate environment as approximately 40% of our debt is floating but we are committed to opportunistically improving our capital structure and reducing our interest expense as the market allows. In Bob's opening remarks, he commented on the unique opportunity iHeart has been presented with to capitalize on changes and disruptions that are taking place across the advertising and media ecosystems and we have included a slide in the investor presentation on the Dentsu study he referenced. With that context in mind, I'd like to provide some thoughts on our outlook for the back half of 2023 and what that means for us in 2024 and beyond. We continue to see improvements in the advertising marketplace and believe that they are an indication that our Multiplatform revenues will continue its quarterly sequential improvement and that our Digital Audio Group revenues will continue to grow in the second half of 2023. These improving trends in combination with our performance in the first and second quarters relative to guidance, along with a presidential election ahead which is giving us every indication it will generate record political advertising revenues, gives us confidence that this advertising marketplace recovery continues. We expect to have a strong 2024 with the resumption of our growth story in terms of revenue, profitability and free cash flow generation. And of course, this growth will increase our ability to continue to improve our capital structure. We remain committed to driving shareholder value through our rigorous allocation of capital, identifying additional cost savings opportunities, utilizing new technologies to expand our product offerings and improving our operational efficiency. And finally, on behalf of our entire senior management team, Bob and I want to thank our team members who work to deliver for their communities and for iHeart every day. Now, we will turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions] And your first question comes from the line of Steven Cahall from Wells Fargo.
Steven Cahall: Maybe to start off, we've heard a lot over the last couple of weeks about some of the differences going on in local versus national. I think just with your larger portfolio, you have a little more weighting to national versus some of your radio peers. That's where we've heard that there's a bit more weakness. So wondering if you could just compare and then contrast those trends a little bit. And then, Rich, maybe just on the expense management. It seems like there is some cross currents here. Corporate expense was up a little bit in the quarter. You talked about not paying bonuses last year and I'm sure that's something that you'd like to get back to for employee retention. So how do we think about both the corporate and the non-corporate expense base going forward as you look to manage those tightly but also have some other expenses that you might be leaning into a bit?
Bob Pittman: Great. Steve, let me take the first question. I think when you look at the national, local, we really look at it as more larger advertisers and smaller advertisers. I would point out that although we may have a greater exposure to larger advertisers, we also tend to get a greater share of that advertising as well. So I think that probably compensates. And I think in terms of the smaller advertisers where people have needed to spend their money, we've seen them sort of continue to spend through the softness. The larger advertisers have been a mixed bag. Some have been in at the levels they were and some categories actually are up in the large advertisers and some are holding back. We think they're holding back. And again, like many people that have already been talking, it looks like probably Q4 is the quarter when that breaks loose.
Rich Bressler: Yes. Steve, it's Rich. And by the way to Bob's point, you saw it that looks like that. And if you go back to last year in Q4, I think you'll see we had a strong Q4 and the larger advertisers, in particular, came back during that quarter. On expense management, we continue to aggressively manage expenses. Specifically to your question, really the increase in corporate expenses for Q2 almost entirely relates to just bonus accruals. And we didn't pay bonuses last year. But just -- I'd say overall in the expense management, if you just kind of look at the benefits in terms of savings we had, even within our Q3 guidance, we had the $195 million to $205 million. We've got some pretty significant savings baked into those numbers also on cost savings. So I feel good about where we are in our cost savings and corporate is really entirely related to accrual bonuses.
Steven Cahall: And then, maybe just a quick follow-up. The impairment that you took, is that related to any M&A that you've done over the last few years? Or is that sort of a broader goodwill and intangible charge for the company at large?
Bob Pittman: Steve, it's 100% the latter. It's just -- honestly, it's an accounting and mathematical exercise simply more than anything else. It really happened because of the current fair value of our debt and equity. And that triggers an impairment. And by the way, that's driven by the spike in interest rates that we've all seen again. And truly, just a mathematical calculation and noncash, just to make sure that you're 100% clear.
Operator: And your next question comes from [indiscernible] from B. Riley Securities.
Unidentified Analyst: I just want to unpack the optimism about the fourth quarter recovery a little bit, especially given the guidance for mid-single-digit revenue decline in the third quarter. Just what is it that's giving you that confidence that you'll see that recovery in the fourth quarter? Is it actual conversations with advertisers saying? Is it visibility into the bookings pipeline? Just trying to unpack that relatively more optimistic outlook for the fourth quarter. Others haven't been as willing to be that aggressive on why think budgets were recovered to?
Bob Pittman: Yes. If you look at last year, for example, although the year was softening, starting probably about the second quarter, by the time we get the fourth quarter, we had a record fourth quarter for the company and a record quarter for the company. We also look at companies, especially as you get to large advertisers, usually their biggest sales quarter, almost all of them is Q4. It's when they spend the big money on advertising. If you're going to hold out for the year, the one quarter you probably will not hold out for is Q4. And as we've had conversations with advertisers as well as looking at historical trends, we feel confident that Q4 certainly is going to be much stronger. I think the question is how much stronger.
Rich Bressler: Yes. And the only thing I might just add to what Bob said that you talked about, I think, years to word optimism. I think if you just look at it, I think Q1, we did about $811 million of revenue as a company, Q2, just look at sequential improvement. We just announced 920. If you kind of look at the -- our overall guidance for Q3, that would lead you to about $940 million. So I think as we're thinking about Q4, it's exactly obviously what Bob said, between large and small advertisers what we saw last year and just then look at the sequential performance that the company has had this year in terms of strengthening. And by the way, you've also seen it reflected in the EBITDA numbers were pretty much Q2 that as we just announced, are pretty much double than as we had in Q1 on an absolute basis for EBITDA.
Unidentified Analyst: Great. And then just a follow-up. So I know we're still a little bit ways away from the 2024 political advertising cycle. But one thing I think I'm consistently hearing is a lot of the campaigns want to leverage digital channels more effectively next year, whether that's TV or podcasts. Is there anything you're doing maybe to prepare yourself specifically on the podcast side to capture some of those political budgets at this point?
Bob Pittman: Well, look, we are not only on podcasting but on our broadcast radio as well. We're developing the data capabilities that I think the political advertisers are looking for. And I think when you say they're moving to digital, I think what they're really moving to is they're getting much more digitally informed media buy. And so I think any services that can provide that extra layer of data, I think we'll benefit from it. And again, for our radio broadcast radio in addition to podcasting and our digital properties, we are putting that in place. And as you know, it's been a priority for the company.
Operator: And your next question comes from the line of Jim Goss from Barrington Research.
Jim Goss: All right. Bob, you mentioned that you thought the radio was not in a declining phase but the core radio business would at least be growing modestly. I'm wondering if you could look at that a little bit more in terms of the core direct sales versus the digital components because it seems that over the years, that category that's been called radio has had a difference in shares with the digital elements. And I know they're complementary but the direct sales versus the other radio ad placements.
Bob Pittman: I'm not sure I exactly understand what you mean about direct sales. Could you just clarify that?
Jim Goss: Well, I guess I just mean I think you have sales staff that have relationships with the advertisers and then you probably also have other ads intersperse digitally placed ads. And are you saying that the directly placed ads would be at least flat or growing very modestly as a core for the business?
Bob Pittman: Yes. I think if you look at how we sell our advertising, we have a number of ways that we do. The reason we have so many platforms is each one is a door that an advertiser can come through and understand iHeart developer relationship with iHeart. And then in most cases, they spread to other platforms as well. What's exciting about broadcast radio, first and foremost, is it has the audience. And the study Dentsu just did was pretty amazing. It said radio was the most efficient of all audio platforms, providing 10x more efficiency when compared to the average online video ad. So we know that radio giving them a 10x efficiency above the online video ads which is where a lot of money is going, is very encouraging news. And we are seeing as we build our organization -- yes, we are building out programmatic capabilities. Your point about buying -- I assume that's what you mean by buying directly -- that advertisers will be able to go in and it's basically a self-service, buy what they want to off our platforms. And we will append data to that or allow them to append their data to it which will make it, again more valuable, more usable. We also have a group that deals just with the clients and the major clients and we are really marketing partners there, looking for marketing solutions, although it's bought as media in these discussions. It's not a media discussion. It is a marketing discussion. And again, having the platforms we do and having the unique scale we do, twice the reach of the biggest TV network twice the reach of the next largest audio service gives us the opportunity to do things others can't. And then, of course, we have great relationships, we think, with the agencies from the major hold cost all the way down to the smallest agencies. And we've put a great priority of maintaining those relationships as well. So I think we're looking at all of those benefiting from the addition of data benefiting from making it easier, benefiting from making it all look like digital. And as you know, with the Triton acquisition we made, we built out a unified platform for audio. So if people find an audience they want, not a Nielsen audience but a specific audience for their needs. We can find that audience seamlessly across all forms of audio. And we, again, think that is a big boost to broadcast radio as well, having to get added to that array.
Rich Bressler: Yes. And by the way, just one last point I might add from a performance standpoint and a number standpoint. You did see that we were down -- if you look at sequential performance for NPG group, during this year, we were down 5.9% this quarter. And in Q1, we were down -- the NPG group, Multiplatform Group was down 7.4%. So one of the things we said in terms of tracking and looking at our progress, the outlook and everything Bob just said, is look at the sequential improvement in NPG and also look at double the EBITDA number in terms of the performance. And by the way, if you go back to 2020 in terms of coming out of that period of time in the pandemic and obviously dramatic economic slowdown. Q2 was down over 50% compared to Q1 of the prior year. So again, just all the data points show significant improvement to the overall performance of Multiplatform Group. As a result, as Bob said, to the sales force and the access we have being to the marketplace.
Jim Goss: Okay. And one other thing and this might be implicit similar to what you've just been saying but does the complementary nature of radio and podcasting that you've pointed out between in-home and out-of-home enable cross-selling in certain categories or the local national blend and do the same salespeople address both? Or are there specialists that might do one versus the other?
Bob Pittman: Yes, we do have some specialists but as you know, we have built an organization a number of years ago that any seller anywhere can sell anything built out the technology tools to support them in doing that. So that allows us to some people call it bundling but allows us to put together the right marketing mix for an advertiser. And you're right, podcasting is much more significant in home in terms of its overall usage and radio out of home. So putting those 2 together, it gives us a sort of a 24-hour opportunity with that consumer and is a great value.
Rich Bressler: Thank you all. Well, on behalf of Bob, myself, the rest of the management team. Thanks, everybody, for listening to the iHeart stories. We're all available, Mike McGuinness for any questions you have on follow-up and appreciate everybody's time.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.